Operator: Hello, and welcome to the Repsol 1Q 2019 Results Conference Call. Today's conference will be conducted by Mr. Josu Jon Imaz, CEO. A brief introduction will be given by Mr. Ramon Alvarez-Pedrosa, Head of Investor Relations. I would now like to hand the conference call over to Mr. Alvarez-Pedrosa. Sir, you may begin.
Ramon Alvarez-Pedrosa: Thank you, operator. Good afternoon. This is Ramon Alvarez-Pedrosa, Head of Investor Relations. Welcome to the Repsol first quarter 2019 results conference call. Today's call will be hosted by Josu Jon Imaz, our Chief Executive Officer, with other members of the executive team joining us here in Madrid. Before we start, I advise you to read our disclaimer. During this presentation, we may make forward-looking statements, which are identified by the use of words, such as will, expect or similar phrases. Please note that the actual results may differ materially, depending on a number of factors, as indicated in the disclaimer. I will now hand the conference call over to Josu Jon.
Josu Jon: Thank you, Ramon, and thank you to everyone online for attending this conference call. Today, I would like to cover the following main topics. First, I'll start by reviewing the key messages and main operational highlights of the quarter. Next, I'll go through our summary and financial results. And finally, an update on the outlook for the rest of the year 2019. Let me start with the key messages. Repsol has delivered in the first quarter of 2019 a strong set of results despite a weaker micro scenario, and a more challenging operating environment. The adjusted net income was 6% higher than in the same period of 2018 despite first lower upstream production due to interruption in Libya, lower oil prices and tighter refining environment. The company has continue working along the lines of our strategy, committed to increase shareholder remuneration, improving the profitability of our portfolio and developing our long-term options all under a strengthened financial position. Our results in the first quarter make us confident of achieving the main operational and financial targets set for 2019. Upstream remain focus on the successful delivery of our product pipeline. High grading each portfolio and contributing with significant cash to the group compared to the same period in 2018, the contribution from newer projects have better result in exploration and stronger dollar more than compensated a lower contribution in Libya and lower oil price. Upstream cash flow from operations increased by 25% year-on-year. In downstream, the efficient management of our industrial sites together with the contribution of our asset light businesses allow us to navigate a challenging refining environment and the negative effects of a milder winter. First quarter results demonstrates once again the strength of our integrated mobile supported in our first quartile refining system and improved chemicals. In refining to ensure that we maximize the value captured from the new IMO Regulation we are bringing forward to 2019 maintenance work in our refineries, without a material decrease in utilization rates. In the commercial businesses, expansion in Mexico already reached a positive result last quarter. At group level first quarter cash flow from operations more than cover investments, financial costs and shareholder remuneration, including the impact of a significant working capital build up. Total cash flow from operations increased by 26% compared to the first quarter of 2018. Net debt stood at €3.7 billion as of the end of the quarter, an increase of €2.0 billion compared to December, driven by €0.5 billion investment in treasury stock. Total financial liabilities arising from leases stood at €3.8 billion. I will elaborate later on the impact of IFRS-16. Liquidity at the end of the quarter represented more than 2 times our short-term gross debt maturities. €1 billion bond maturing last February was redeemed and thanks to our sound balance sheet, we decided not to roll it over. Our improved financial position was recently recognized by rating agencies. With regards to the scrip option we had a very high acceptance rate in our last dividend payment with more than 70% of our shareholders opting to receive shares. Lastly, the Board of Directors agreed to propose a gross shareholder distribution equivalent to €0.525 per share under our Repsol flexible dividend program. This will increase the shareholder remuneration to €0.95 in 2019. And additionally, the Board proposed implementation of a share capital reduction to offset the dilution associated with the scrip. Both proposal, of course, are subject to approval at the Annual General Meeting on the 31st of May. Now, let me move on to the operational highlights of the quarter, starting with the upstream. First quarter production average 700,000 barrels of all equivalent per day, this was 3% lower than in the previous quarter, and 4% lower year-on-year, compared to the first quarter of 2018 production was negatively impacted by the interruption of Libya, our lower gas demand in Venezuela, and the divestment of our position in midcontinent complete at the end of 2018. These impacts were partially offset by a higher production in Duvernay, Marcellus and Akacias in Colombia, the contribution of Mikkel and Visund in Norway and the startup of Angelin in Trinidad and Tobago. Production in Libya was interrupted on the 9th of December, 2018, due to the security issues in El-Sharara field and remained shut down till 4th of March, 2019. Average net production in the first quarter was 9,000 barrels of oil per day. This was 22,000 barrels per day lower than in the previous quarter, and 29,000 barrels lower than in the same period of 2018. After restarting operations, the quality of the asset overall for a quick ramp up, reaching close to 300,000 barrels of gross production per day by early April. The situation in Libya continues to be complex, but operations have been stable so far in the second quarter. Net production has average around 36,000 barrels per day in April, with a field producing at around 280,000 barrels in gross terms as of today. In Venezuela production increased modestly compared to the previous quarter, linked to fluctuation in the gas demand of the domestic market. Our exposure to this country decreased to $490 million from $522 million, as of the end of 2018. Looking at our development activity in the quarter, high portfolio flexibility has however absorb, to increase investments in a more positive commodity environment upstream exploration on development CapEx increased by 15% compared to the same period in 2018. In the Marcellus incorporation of our second rig is allowing us to increase production in our low breakeven asset that has a scale synergies and low cost replacement barrels. The acquisition of Mikkel, effective since February allow us to grow our scale in Norway and reach out record level of production in this country. Portfolio high grading continues focus on the drivers set in our strategic plan, margin, value and scale. The development of Angelin reached first gas at the end of February according to plan. The facilities have a gross production capacity of 600 million cubic feet per day and Repsol you know has a 30% stake. This break ups around 300 million cubic feet of net incremental resources on additionally brownfield Cassie and Matapal projects were recently approved, focus to develop the gas reserves discovered in Savannah. In CPO-9 block in Columbia the Phase 1 of Akacias has reached 20,000 barrels per day of gross production, of which 45% correspond to Repsol. Exploration had a very good quarter, with four positive wells out of the seven that were concluded in the period. As of the end of March two wells remain under evaluation, while the remaining well were still unsuccessful. In Indonesia, the Repsol operated Kaliberau Dalam well in the Sakakemang block is the largest discovery in the country in 18 years, and the seventh largest discovery worldwide between 2018 and 2019. Initial estimates are of a list two TCFs of recoverable reserves with relevant resource upside. This project will allow for a fast track development in an area of good margins due to high gas realization prices. In Alaska, we continue advancing the development after positive results to up rise well conducted during the winter window. These results extend the Pikka discovery further South and in Norway the Telesto well discover oil in the same block where the Visund field is located. And finally after quarter closing the operator of block 380 in deep water U.S. Gulf of Mexico, announced a significant discovery at the Blacktip prospect. Also in the Gulf of Mexico, we have just entered into an agreement with LLOG to accelerate the development of Leon and Moccasin discoveries where proximity between both projects provides the opportunity for synergies and efficiency gains. Moving now to the downstream. Starting with refining, the emerging indicator average $5.30 in the first quarter impacted by weak gasoline spreads. However, CCS margin gross around $1.15 higher the indicator as the flexibility and attributes of our system together of course with an efficient management of the crude slate allow for a higher yield of middle districts. The chemical business deliver a good quarter as well as supported by the advantage of feedstock flexibility, higher sales and healthy international margins. Our chemicals production system benefit from our ability to use up to 40% of gas feedstock. Compared to the same period of 2018 sales and results were also helped by an improve operational performance. In the commercial businesses compared to first quarter of 2018 the positive contribution from Mexico was partially offset by a lower result in LPG due to a milder winter. In Mexico the number of services stations operating reached 183 out of 260 contracts already signed. We also start producing and distributing lubricants under the Repsol brand with Mexico, becoming our distribution hub for lubes in America. We also became the first international company selling its own jet fuel in the Cancun Airport. In the mobility business the implementation of new growth levers is follow us to maintain profitability despite an increasingly competitive market. We also reach an important milestone with the opening of the first ultra-fast charging point for electric vehicles in Spain and the Iberian Peninsula. In low carbon, we've reached more than 830,000 retail clients at the end of the quarter. Let me underline that today. They are 850,000 clients, and we continue with our growth plan supported by our customer centric energy supplier strategy. Turning now to the financial results, I'll summarize the main figures for the first quarter of the year and how they compare with the same period in 2018. First quarter 2019 CCS adjusted net income was EUR 818 million, a 6% increase from the first quarter of 2018. Upstream adjusted net income in the first quarter was €323 million, €36 million higher than in the same period of 2018. And the stoppage in Libya, lower gas sales in Venezuela and lower realization prices were more than compensated by lower exploration costs, a stronger dollar and lower tax due to a lower contribution from Libya. Upstream adjusted net income increased by 12.5% year-on-year compared to a 5.5% decrease in the Brent price. Downstream adjusted net income in the first quarter was €404 million, 5% lower than in the same period of 2018. A milder winter in North America and Spain was partially offset by the good behavior of the refining, trading and chemical businesses and the appreciation of the dollar against euro. In corporate and others, the adjusted net income for the first quarter was €109 million negative, a €20 million improvement compared to the same period in 2018. Lower net interest expenses were partially compensated by higher financial costs due to the application of IFRS 16. For further details on Repsol of course, I encourage you to refer to the financial statements and accompanying documents that were released this morning. At this point, I want to take you briefly through the impact in our financials of the implementation of IFRS 16 effective for the anniversary of from the 1st of January, 2019 on. In the presentation you have a detailed summary of the estimated impacts in your P&L and cash flow of 2019. EBITDA and cash flow from operations will be increased. But there is no of course impact in net cash as this effect is fully offset by higher financial costs. As of the 1st of January 2019, the total financial liabilities arising from leases under IFRS 16 amounted to €3.8 billion and if the leases are - that are reported net debtors of the end of March would stand at €7.5 billion. Before moving to the conclusions, let me review the outlook to the end of 2019. Follow our result in the first quarter, we maintain probably unchanged our targets for the year, despite our lower contribution from Libya during the first two months of 2019 upstream average production is expected to reach the 720,000 barrels of oil equivalent per day budget it at the beginning of the year. Development activity in back stream will continue towards achieving first oil objective in the third quarter. In Akacias in Colombia, the FID for the full development of the field is expected to be taken towards the end of the year. With up target and maximum production of 50,000 barrels per day in the medium term. In refining, our updated margin indicator assumption for 2019 is lower compared to budget, but we expect to offset this impact partially with a higher premium in the actual CCS margin as we manage to achieve in the first quarter. This together with a somewhat higher oil price expectation make us maintain our target of €8 billion of EBITDA at CCS with an organic CapEx of €3.8 billion years. In efficiency and digitalization we expect to achieve in 2019 more than 50% of our target to 2020. In upstream, we target €0.6 billion of recurrent cash flow from operations improvement by 2020 through efficiencies and digital programs, and we are fulfilling our roadmap to deliver those savings. In downstream, we are incorporating initiatives to ensure our €200 million of recurrent operating cash flow improvement in 2020, especially through digital initiatives implementation of costs cutting, management initiatives throughout the business, as well as crude loads optimization. In the corporation side, we maintain difference in implementing lean processes, and ensuring our commitment to reduce costs by 9% in 2020. I like to highlight the achievements in the digital side in digitalization with more than 130 initiatives on 1,000 professionals involved allowing us to obtain in 2019 a positive impact in cash flow for an operations of more than €150 million for projects already implemented and under implementation. Furthermore, we are working on additional initiatives that are in preliminary stages that we are confident will generate additional positive impacts in 2017. As discussed before in 2019, we are accelerating the planned maintenance in our refineries to ensure we are ready to maximize the value capture from IMO. During the first quarter, we completed the work in the FCC of Bilbao and this week we have started the turnaround of the coker of La Coruña. There will be farther work in Bilbao in June and the turnarounds of Cartagena and Puertollano will start in September and in November respectively, eight months ahead of the effective implementation of the IMO 2020. We are fully confident on a very high level of compliance on the potential structural long-term change in marine fuel demand. Compliance is guaranteed because a majority of total fuel consumption is concentrated in only 20% of the vessels mostly owned by large companies based in OECD countries. Our recent Serbian Berto [ph] 3Ds forecast an 85% compliance rate in 2020. As directorial change in the bunkering business will making gas oil a clear winner consolidating scrubbers limited penetration and the current restrictions for the supply of very low sulfur fuel oil. IMO will be not only a temporary disruption for high sulfur fuel oil, but a structural effect as well. Finally, our performance so far in 2019 puts us on track to deliver on our targets for the year. Working towards achieving our strategic objectives of 2020, we are increasing or shareholder returns and subject to approval from our AGM will increase our dividend by 6% and implement a share buyback to fully compensate any dilution associated with scrip option. We continue taking steps in our path to grow cash flow generation, businesses remain focused on the efficient development of our strong pipeline of attractive growth. In upstream we have put Angelin on stream on time and on budget, an important discovery in Sakakemang, Indonesia provides long-term options in one of our core more profitable geographical areas. In downstream expansion in Mexico that combines services stations, aviation and lubricants is already contributing positively, operational excellence, efficiency and digitalization support project delivery and portfolio improvement. Efficient management of our refining assets allow us to generate a premium to the indicator even in a challenging environment. We are at the same time reducing our covering footprint in the whole value chain, with investment in energy efficiency while we develop un-operated profitable low carbon business, focus on both low carbon generational electricity commercialization. We maintain our growth path by having reached 850,000 customers. And let me highlight that we have accomplished all of these without compromising our financial flexibility. With that, I now hand the call back to Ramon, who will lead us through our question-and-answer session. Thank you.
Ramon Alvarez-Pedrosa: Thank you very much, Josu Jon. In case you run into technical problems during the webcast or conference call, please address any problem to our email address investorrelations@repsol.com and we will contact you immediately to try to solve it. Before moving on to the Q&A session, I would like the operator to remind us of the process to ask a question. Please go ahead, operator.
Operator: [Operator instructions]
Ramon Alvarez-Pedrosa: Thank you, operator. Let me move to the Q&A session. Our first question comes from Alessandro Pozzi of Mediobanca.
Alessandro Pozzi: Good morning, all and thank you for taking my two questions. The first one is on the downstream performance, I think it's been very resilient in spite of the weak macro environment with a premium of $1.5 per barrel you mentioned. I was wondering if you can give us maybe a bit more color of what's behind that. And also my second question, on Viesgo, I think is six months since the completion of the acquisition. Can you give us maybe an update on the integration and on your target to gain 5% of the market share by 2025? Thank you.
Josu Jon: Thank you, Alexandra. I think that the premium that is $1.15. So $1.15 per barrel is due to the flexibility of our refining system. I mean, you remember Alexandra that we discussed about that when we presented the last quarter results and the rationale behind let me say this exceptional premium lease that the IMC is calculated on the basis of some yield of products and some prices for the year. But when you have exceptional situations as we have had over the last month of depressed gasoline spreads we have the flexibility to change not only the yield, increasing a bit and maximizing the middle distillate production, but also changing the crude oil feedstock obtaining let me say a better yield in economic terms of the refinery comparing with the structure we have defined before in the IMC. And that is the main reason, of course, on top of that we have to consider that in operational terms we have had a good quarter behind. Let me say this exceptional premium that is not going to happen forever, but you can see things like that in case of let me say not very normal or exceptional spreads in some of the production in the market. Related to the low carbon business, I mean, the integration has been done, as suspected in the plan. As I said before, we started with 750,000 clients at the beginning of November when we started this journey and today we have 850,000 clients in this business that means that in this first months, not only integration has been the target not only let me say put in place all the systems and so on, but also we have been able to increase 100,000 clients, the clients of our low carbon business in electricity and gas. And on top of that, I mean we maintain of course, the target of 2.5 million clients by 2025 as we had before. And we are working building the renewable capabilities, the renewable generation capabilities and we are doing that organically internally. And on top of that, of course, we are if we see we would see any kind of let me say as I have underlined a lot of times inorganic possibility of building capabilities I mean not buying let me say a huge amounts of assets in operation and so on I mean we will do it. But the main driver is going to be this combination of organic acquisition plus inorganic capability of pipeline. Thank you.
Ramon Alvarez-Pedrosa: Thank you, Alessandro. Our next question comes from Oswald Clint at Bernstein.
Oswald Clint: Good afternoon gentlemen, thank you. I wanted to ask about the upstream cash flow you mentioned it was up strongly, I think 25% year-over-year. Just want to get a sense of which new fields are really contributing to that. I don't probably it wasn't very much on Trinidad so I guess is really that your shale plays in North America or Columbia perhaps a little bit of the Norwegian oil - or gas condensate asset. So I just wanted to get split or somehow that cash flow growth across those couple of our key asset, which have been growing. And then secondly, just talking about expiration, which seems to have picked up in the quarter and you mentioned it was a good quarter. But you got some interesting new discoveries here in the Gulf of Mexico and obviously Indonesia and Norway. So how is that making you think here about perhaps allocating a bit more capital to the upstream, perhaps looking at some higher levels of medium term production growth given the cost is so low to develop today. Thank you.
Josu Jon: Thank you, Oswald. I mean what is behind this new production is the growth in Norway, I mean we Visund and Mikkel new production entering in Norway. In Colombia, we have the growth in barrels of the CPO-9, the JV we have with Ecopetrol in the country. On top of that we have increased our productions in the Marcellus and the Duvernay in North America. And on top of that we have also increased a bit our production in BPTT in Trinidad and Tobago. That is the main reason behind the cash flow and the barrels growth in the upstream that of course has been offset by the disruption in January and February of the production in Libya. I mean going to this operation, we had a real great quarter that this in some way also behind the greats of DMP in this quarter. Because we have quite significant discoveries, you mentioned Indonesia, Sakakemang, I could add Telesto in Norway in the block of good run. Blacktip as you mentioned in the Gulf of Mexico on top of that we have had also two positive price house in the Pikka B areas in Alaska. I mean that is behind the reduction of cost in exploration in this quarter. And I agree with your point, I mean that is an opportunity to apply the capital allocation and to find new opportunities. For instance, we're going to try to accelerate the Sakakemang the next step of this acceleration is going to be a new well that is going to be drilled this year in the third, four quarter in Sakakemang in this exploration bit, we have in this area and after let me say this confirmation on appraisal of assets of resources; I mean we're going to try to accelerating as quickly as possible, Sakakemang development project in Indonesia. On top of that we're apply in this additional capital also trying to accelerate the CPO-9 in Colombia. Remember that four, five weeks ago we announced that we are anticipating the next development phase in the area. We are preparing the take in process of the FID for the CPO-9 at the end of 2019, the beginning of 2020. What we are going to do this year after the deal, the agreement with LLOG combining the geological capabilities of Repsol and the operational capabilities of LLOG in the Gulf of Mexico with Leon and Moccasin is another way to try to find opportunities to accelerate capital allocation. So we're going to go on in that direction and of course exploring also in areas that are important and key areas for Repsol. This year Guyana is going to be there, on top of that we're preparing the exploration campaign for the beginning of 2020 in Mexico we expect to drill and I think that there are the blocks 10 and 29 I have in mind, but perhaps in Mexico three wells in 2020 so we are trying to apply more capital there. Thank you Oswald.
Ramon Alvarez-Pedrosa: Thank you, Oswald. Our next question comes from Thomas Adolff of Credit Suisse.
Thomas Adolff: A couple of fairly straight forward questions please. Just firstly on the 2019 production guidance of 720 KBD, I think you initially assumed 35 KBD from Libya and 50 KBD from Venezuela, and I was wondering what the contingency buffer was to reach that target at the start of the year? And then secondly, just going back to refining you've now had two quarters in a row exceeding premium of $1 per barrel over the indicator. And I think historically if you take the annual average it was around $0.4, $0.5 admittedly that also incorporated a bit more maintenance. So I was wondering versus the historical average should we be thinking closer to a $1 or should we be thinking about something in between going back to the historical average? And then finally, just on the low carbon business, since I don't think you split it out, I wondered what the quarterly contribution to the net income was? Thank you.
Josu Jon: Thank you, Thomas. I mean, first of all let me say that today in Venezuela we have produced in the first quarter a bit more than expected mainly in gas production in our budget, and in the fourth quarter of 2018 that's my first approach. The second one is that I mean in Libya we're not going to be in the 35,000 barrels per day, but we expect to produce around 29,000-30,000 barrels per day at the other edge probably for a year. These productions could be offset by an increase of production in Colombia, I mean, we are accelerating the CPO-9 and we are going to produce more than expected at the end of the year. In Peru in the Block 57 mainly, Sagari and Kinteroni we are going to increase the production of mainly of gas. In the UK, we are going to be 2,000-3,000 barrels per day, evoke the expectation we have at the beginning of the year. And same thing in Algeria where we are going to be slightly evoked the expectation we have in our budget. And same thing in Bolivia, I mean, that is the main rational to say that I mean that even with the risks that are always there because I don't have unfortunately Thomas a crystal ball, but the guidance of 720,000 per day is still there. Thank you. Second one the premium, in case of seen let me say, average expect for gasoline, for diesel and so on the logical premium will be to have a $0.3, $0.4 per barrel as I said before in historical terms. What is the exceptional part of the pie over the last three, four, five months. We have seen things that are - they have been really new in the market for instance, zero spread or even negative spreads for gasoline some weeks. So while you have these let me say, non-usual things you could react and you change the feedstock, you change your - the deals, the way to operator the refinery, remember that we have a 5% of our production of our guilt that could shift with any kind of investment from middle districts to gasoline if changing the someway catalyst, changing the conditions of operations, changing the crude oil and so on. So that is behind let me say the exceptional premium. What do we expect for the whole year that's not easy to answer because that is going to depend on the structure of the spreads. But let me say I think that is going to be something, average of the year, closer to $0.8 something like that than to $0.3 that could be the historical. Of course here you have to dig into account also the contribution of the first quarter. Going to the low carbon business, the contribution, I mean - of the guidance for the EBITDA for the year will be more or less €60 million for the current assets. We have the guidance for the EBIT of the year will be at around €30 billion. And this quarter, the EBIT has been €4 million. I mean on the expectation it's noticeably the first quarter multiply by four, because we have to take into account that we are of course starting with the business integrating, developing some systems and so on. But I think that today with the current assets we have in our hands €60 million of EBITDA and €30 million of EBIT will be a good guidance for the contribution of the low carbon business for the whole year. Thank you.
Thomas Adolff: Thank you.
Ramon Alvarez-Pedrosa: Thank you, Thomas. Our next question comes from Flora Trindade at CaixaBank BTI.
Flora Trindade: Yes, hello. Good morning. Thanks for taking my questions, two. First one on refining, can you give us the refining margin that you have witnessed during the month of April? And also related to this, you don't mention clearly the $7.6 per barrel margin you have given in the previous presentation. Just wondering, if maintenance could have some impact here and then likely to be compensated with the spread over the benchmark or if you are maintaining the effective $7.6? And then, second question on Venezuela there was some new flow around the potential cancellation of the cargos from [indiscernible]. Can you just the played on the situation there? Thank you.
Josu Jon: Thank you, Flora. I mean, first of all you are right. The spreads - the refining margins in April are weak. I mean, I was checking this morning the full margin we are capturing and it goes slightly below $5, this April. So that's true and you are right, $5 - slightly below $5 per barrel. If we take what could happen in the future, of course, here I mentally in an speculative analysis. We could expect some kind of improving of gasoline in the second quarter, as far as the driving system in North America goes on. And on top of that our expectation is that from the third quarter on and that is going to be clear in the first quarter and that is reflected in some way in the future markets. The effect of the IMO is going to be there. That means that the middle distillate spread is going to increase. On the other hand, we are going to have at the end of the year a higher discount for fuel oil. And as a consequence of that, we are going to see also a wider spread of heavy lights at the end of the year as a consequence of the influence of the IMO. I don't know with the $7.6 per barrel of IMC is going to be there for the whole year. But my expectation is that a potential reduction taken into account that we have in April. So what is happening now is going to impact the average of the year, is going to be in a main way offset by a higher premium in real margin terms. And let me say take into account what I'm saying now, taking into account, what is happening with the oil price and so on. I mean, I'm quite comfortable about the full year EBITDA guidance for 2019 at around €8 billion for the whole Repsol. But this seems to me that this effect on the IMS MC, as we have seen in some way in this first quarter is going to be either partially or totally offset by the improvement of the premium. And the maintenance is not going to impact in a negative way. First of all because we have maintained 3 out of our 4 cokers in 2017 and 2018. Secondly because we have three and half main maintenance turnovers this year. One of them the FCC of Petronor is over, we complete in the first quarter this maintenance turnaround. The second one the coker of La Coruña that is the smallest of our refineries is on track. And the third is going to be the hydro treatment area of capital Hannah in the summer. So, I mean, we are going on with this maintenance period. Some units of [indiscernible] are going to be stopped in October, but the conversion utilization rate is going to be similar to what was in 2018. So we are not going to see a negative impact on the premium due to this maintenance activities in our refineries. Thank you, Flora. Venezuela, regarding Venezuela, I mean, let me say Flora that we reaffirm our willingness to continue with our businesses in the country as we have done over more than 25 years. And of course, we are going to prioritize the safety of our people on operations, of course, we operate in the country with full compliance to local and international laws, all the policies in force in the different countries in which we operate. And we continuously monitor potential changes and the effect of these changes in our activities. But let me say that regarding the cargos from Petrovesa [ph], I mean, we are going on with this operations and since September related to Petrokille [ph] we are receiving a cargo every month. We have received since September, I have in mind four, five cargos, five cargos, I think related to the payment of the debt linked to carbon. So of course, we are going to fulfill all the local in an international laws and policies in force in the different countries where we operate, but we are maintaining these operations of all cargos from Petrovesa to pay the debt they have with Repsol. Thank you.
Ramon Alvarez-Pedrosa: Thank you, Flora. Our next question comes from Giacomo Romeo at Macquarie.
Giacomo Romeo: Good afternoon. Thanks for taking my question. I am going to ask about the headlines that came out today suggesting that you have terminated your negotiation with KKR on X-Elio. And I'm wondering if we should read these as a signal that you're struggling to find the inorganic renewable, opportunities at a price that fits your return thresholds. And since we're on this topic could you please remind us what sort of inorganic ambitions you have in solar and what type of assets and businesses you would consider acquiring?
Josu Jon: Thank you, Giacomo. First of all, let me say that I don't know if I goes in and I don't know if we are out now because we don't disclose any kind of participation in any M&A operation we are or we could be potentially involved. So my only point is and I have underlined in this conference is a lot of times this statement. We are going to invest inorganically only if we see real value. And only if we see returns that fits with what we could expect for an oil and gas company, I mean - and to do that, in the renewable business, we have to see a clear integration with some other businesses of Repsol. We have to see clear capabilities to develop and to take the whole value chain the renewable side to build the operation and maintenance capabilities we need and of course, to take risk selling our main part of this production in a merchant way. So, we are going to invest in an inorganic way we are going to go on struggling to find opportunities, mainly organic opportunities, hypothetically inorganic opportunities, but only if we see clear opportunities there. On top of that, our ambition is clear by 2025, we have the target and the ambition to operate 4.5 gigawatts of energy power production to be an actor in the Spanish market having a 5% of the retail market in the gas market to have a market share about 15% in the Spanish market, and that is our ambition is our target, we are on track. And we are going to go on trying to deliver these objectives, but always under our principles, creating value for our shareholders, trying to integrate all that with the different businesses we have today and with the returns you have to expect and you could expect for an oil and gas company. I mean, we are not going to invest everywhere because we have investment targets. We have growth, yes, but mainly profitability targets on track. Thank you.
Giacomo Romeo: Thank you.
Ramon Alvarez-Pedrosa: Thank you, Giacomo. Our next question comes from Lydia Rainforth of Barclays.
Lydia Rainforth: Thank you, and good afternoon. Three questions, actually, please, the first one, can you just talk us through the cash tax number, that seems to be a little bit lower than I'd have expected for the quarter and just what you would expect for the full year? The second one was just coming back to the refining side and the premium that you've got, I think was about a year ago, you signed an agreement with Google to talk about the artificial intelligence deployment and say managing the refinery. Are you seeing an impact from that already coming through? And then the third one was I'm sorry to just come back to the IMO 2020 and the uplift that to get back to margins there. Are you disappointed with how the markets played out so far in this year? And is that what you anticipated ahead of IMO coming in? Thanks.
Josu Jon: Thank you, Lydia. I mean, looking to the tax numbers, I mean, the first point is, if we go to the P&L and the tax percentage is lower in the EMP, as you could see. And the main driver behind this tax number is the basket of production we have had over the quarter, and you could imagine the impact of Libya is very important, because the high tax rate that the Libyan operation has. So that is the main rational behind this number that has been also translated to the cash side of the tax. On top of that you have a small calendar effect that I think that is impacting some of our Spanish operations. That is the main cash - the rationale behind the cash tax number. And the guidance, going to the guidance of 2019, I mean, in cash terms, let me say that the best guidance I could put today on the table is something in between 45%, 49% tax rate for the EMP production. But that is going to depend of course of the basket of productions 24%, 25% for the downstream as in general terms, and depending on prices and so on. But you could see something close to the 31%, 32%, 33% for the whole company 33% - close to 40% for the whole company. That could be the guidance for 2019. The refining side, I mean, the Google project is one of the 139 projects we have on track today in our businesses. And we are working in digital initiatives, either in the industrial side, mainly refining also chemicals in the EMP and in the corporate side. And it's through the refining could be in improvement terms, perhaps 30% more or less of the whole digital targets we have. So that means that we could have those sensors of initiatives today working in the refining business. And the refining business has improved over the last 15, 16 months thanks to the digital initiative and the most important digital initiative in the refining business has been the optimization using the data pool. We have in our refinery and here including the fifth store the different kind of crude oils, the consumption in energy terms. I mean, a high level terms of these crude oils, the situation in the market, the deal of every unit, the consumption of energy and higher version in every unit on so on. I mean trying to optimize the programming and the planning of the refinery substitute in some ways the programming tools we have in the past with the new tools we're developing thanks to the digital. And I'm including for instance the C clause [ph] initiative that you know Libya is the way to translate one operator in a direct way that the operation he or she is leading to the real figures and numbers of the profit of the units. So that means that we're including in this interface between the operator and the screen everything related to market, to operational features and so on. So the impact over the last 15 months of this digital project in the refineries could be at around €26 million to €27 million of improvement over the whole year thanks to this digital initiatives in the refining side that that could be close to $0.1 per barrel of improvement in 2018. And on top of this initiative I mean we have the aspiration of the target to improve these figures in 2019. Are we disappointed with the impact of IMO so far, no, Lydia, I mean, if you talk about the today's situation in the market, I have to say, yes, because have not seen any kind of impact from the IMO today. But as we have had the opportunity to discuss in the past, we see that the rational, the IMO is going to come mainly in the fourth quarter of this year. And if we see growth the future markets is anticipating for the last quarter of this year and by 2020, I think that our approach of improving $1.5 per barrel of refining margin thanks to the IMO is quite prudent. And all the expectations coming from future markets, from analysts and so on are above this figure. So we are expecting a clear impact from third, fourth quarter on. Thank you, Lydia.
Lydia Rainforth: That's really helpful, thank you.
Ramon Alvarez-Pedrosa: Thank you, Lydia. Our next question comes from Chris Kuplent from Bank of America.
Chris Kuplent: Yes, thanks for taking my questions. Not much left, I just wanted to see whether you can give us a little bit of color on headcounts. Firstly, it looks like it's been a strong contributor to the first quarter. Anything you can tell us about the remainder of the year and how you see that going forward? And secondly, of course other than low carbon this is also an area of growth that should allocated the extra budget towards. I'm afraid I haven't spotted a huge amount of progress in terms of growing that business organically or inorganically. So perhaps again if you could update us on the status quo in that regard? Thank you.
Josu Jon: Thank you, Chris. First of all, as you know the general business sound of the chemical business this first quarter has been a bit lower than the fourth quarter of the year or the last - let me say the first quarter of 2018 due to the increase of NAFTA prices. And I mean the difficulty in the short-term to translate these prices to the polyols. But I think we have had two advantages the first one not in operational terms this quarter has been a high-performing quarter in operational terms, in our chemical business. Remember that when you compare with the first quarter of last year, we start the quarter having some operational problems and in the cracker of Tarragona and at the end of March it will start - at the beginning of April we will start with a strong programs in the Sines crackers and this effect is going to be clearer in the second quarter and the third quarter of the year. That is a first point. And the second point is that we have quite flexible capacity of putting the feedstock in our crackers. And we have been able to feed 40% of the feedstock of our crackers using different gases say LPG mainly and also ethane coming from some streams from our refinery. So thanks to this combination of flexible feedstock plus a quite good performance in operational terms over the quarter we have been able to have a good quarter. Our best guidance for this year, I'm going to maintain the guidance, we announced at the beginning of this year at around €350 million, €360 million of EBIT for the whole year 2019, because we have to take into account that in the last quarter we have the turnaround process of the cracker of Tarragona that you know that is the main unit in operational terms of Repsol. The low carbon business, the capital allocation we have budgeted for the pay of 2018, 2020 in our low carbon business has been €2.5 billion that goes announced in our strategic update in June 2018. Up-to-date we have invested €1 billion more or less, 150 coming from Viesgo better set, we have on track €1 billion because we have invested €750 billion in acquisition of Viesgo, €20 million in the acquisition of the pipeline of Valdesolar and we are going to invest in coming months €100 million to €110 million more or less to develop the 260-265 megawatts of Valdesolar the photovoltaic project in the Southwestern part of Spain. So the main growth we are going to push is in the retail, in the gas wholesale on top of that we are trying to identify pipeline that we may acquire and recall construct, develop, and operate with our own resources. You have to take into account that we are recruiting people, best class people in our market to operate our assets. In Spain, we have great things, but one of them is that we have a strong operational capabilities in the renewable sector because the history of this country over the last 20 years. So we are recruiting people organically and we are combining these people with the engineering capabilities we have in the company, remember again that we develop some projects in the North Sea in the past and we are going to put, of course, a part of the focus in the organic side that is normally the most profitable way to get returns. But on top of that we are fully open to be all selective in the organic side, but mainly trying to identify capabilities, developers, and pipeline not exactly assets in operation. And the update, today we are confident to fulfill the targets we establish and we define in our strategic update. Thank you. But let me underline again, more important that fulfilling the targets we are always to ask the return you could expect in an oil and gas company to be involved in this business. Thank you.
Ramon Alvarez-Pedrosa: Thank you, Chris. Our next question comes from Robert Pulleyn at Morgan Stanley.
Robert Pulleyn: Hi, good afternoon gentlemen. You've given a lot of ground, so just one question in terms of the upgrading of the upstream portfolio that you have talked about in the past, obviously, lots of exploration successes great to see and many of your projects are progressing. I just wanted to ask in terms of the inorganic side of the upstream portfolio, as you look at what you may want to keep and may want to acquire, do you consider that you would be an acquirer or a disposer first? Thank you very much.
Josu Jon: Thank you, Rob. The idea of [inaudible] I asked Thomas the personal led in the EMP business to dispose and to invest at the same time, but that is not possible I mean in real terms because you have - you can't match in real time in both kind of operation. But I want to underline that we have dispose over the last two years, we have disposed Tengu we have in Indonesia we have disposed Kitan in Australia we have disposed the old site in Trinidad and Tobago we have disposed Mid-Continent we have disposed our assets in Romania, we have disposed Gabon, we have disposed Angola, we have invest in Norway in the Gudrun, we have invest in Mikkel, we have invest in Visund. We're active trying to update and to highlight and upgrade our portfolio, we're going to go on and sometimes perhaps you will see movement in the market where we are acquiring assets in an inorganic way and perhaps you could see later or sooner who knows that we are also disposing, I mean my messages that under the principal of being let me say in the whole picture, neutral or slightly positive or negative in investment terms. We don't expect large acquisition of - in our portfolio but under this principal we are going to try to upgrade and to high grade the portfolio we have now. And sometimes, perhaps the opportunities to divest will be more profitable than the opportunities of investing or just the opposite.
Robert Pulleyn: That's very clear.
Ramon Alvarez-Pedrosa: Our next question comes from Matt Lofting from JPMorgan.
Matt Lofting: Hi, afternoon. Thanks for taking the questions. Two if I could please. First coming back to refining in IMO you've outlined bullish picture on IMO into 2020 to ask the question in a more forward looking way when you look into the second half of the year and beyond are there any specific industrial data points or events that you would suggest investors look to as proof of concept to IMO is becoming a reality. And within that when do you expect commercial marketing of a new very low fuel grades to take effect. And then second CapEx, the run rate on the first quarter look low versus the full year organic guidance I know that's often the case seasonally. But what are some of the key activities or projects that you expect to get CapEx higher through the rest of the year to take you to €3.8 billion. Thanks.
Josu Jon: The visual or the view we have about the IMO, I had expressed before this view. My point is in some way supported, but what the forward, the future markets are anticipating today. In my perception these, I mean forward markets could be right because the enforcements and the compliance is going to be there and the most profitable, or the most logical way and the only way for some people to adapt to the newest specification in the emerging sector is going to be to shift from fuel oil, from high sulfur fuel oil to gas oil. So the rationale is there. But again we are flexible to adapt our operation to the different realities, we're prepared to have a zero high sulfur fuel oil production in our Iberian system at the end of this year. We have the spare capacity in the cokers of Coruña and Bilbao to use either the current fuel oil production in Bilbao or the production in Tarragona that we may transport to Coruña to bit the coker we have in that refinery. But at the same time, I mean, we're also flexible to produce some small production of low sulfur fuel oil used in different feedstock of crude oil, blending in some cases these fuel oil with gas oil I mean we're prepared for everything situation. My point is that it seems to me that is going to be more efficient, more profitable and with more margins in the market to produce with a full or high conversion system, middle distillates when you have four cokers in five refineries that is going to be more profitable and markets are anticipating all that then produce low sulfur fuel oil blending your bottom of the barrel with low sulfur and gas oil. So that is my view that we're prepared for any situation in a flexible way. So going to the CapEx for the rest of the year, we maintain the guidance for the whole year at round €3.8 billion for the whole year and I'm not including here as I said also three months ago, any kind of opportunities in the low carbon business that as you know we are using in capital allocation terms that €2.5 billion coming from the disposal of gas nut that I consider before. But my best approach for this year for the CapEx is €3.7 billion for the whole year. You know that sometimes the first quarter, and that happens almost every year. The CapEx execution in the first quarter, is a bit lower than the rest of the year. And we are, of course, rescheduling the year, but 3.7 billion will be our best guidance and approach now. Thank you.
Ramon Alvarez-Pedrosa: Thank you very much, Matt. Next question comes from Arun Thomas [ph] at Exane BNP.
Unidentified Analyst: Good morning, sorry afternoon now. I just wanted a quick follow up on the low carbon business. Would you consider investing outside of Spain specifically because more areas are now starting to open up and seem to be a reasonable amount of opportunities available? Sorry. That's it for me.
Josu Jon: Thank you, Arun. My answer is, yes, I mean theoretically, yes. But saying that because we are going to prioritize returns it makes sense to invest. Firstly, in places where you have a better possibility to integrated all businesses. In Spain, we have a significant base of customers. We have 10 million clients in this country. On top of that, we are the main gas consumer in Spain, at 12% of our gas production in Spain comes from our industrial sites. We consume 1.5% of Spanish total market power. We are an actor in the power wholesale market in Spain. So it makes sense to start investing in Span to develop these kind of businesses because we have a solid and strong position in the market. On top of that, I mean, after having the capabilities, you have a good developer, I mean, we are ready to analyze some older developments in some older parts of the world. But I think that didn't make sense starting from Spain. Thank you.
Unidentified Analyst: Okay. Can I just follow up with a second question. I appreciate very focused on IMO 2020 this year and next. But beyond that, perhaps this would to 2025 where do you see your sort of investment plan in the downstream in terms of product output? And how that might change in the slightly longer term?
Josu Jon: Could you repeat the question?
Unidentified Analyst: Yes, sorry. I was just asking whether you're able to give a little bit more guidance on what your plans might be for investments and changing your yield output in the downstream business may refining and chemicals beyond IMO 2022 to 2025 sort of period.
Josu Jon: I mean, we see Repsol, first of all, invest in €1 billion in our downstream businesses per year. Investing €500 million, €600 million to maintain and to have a more efficient system in the downstream. And €300 million, €400 million per year to grow in light assets. I mean, we have the ambition to have in coming years as we have today, the most profitable and competitive refining system in Europe. On top of that, in the chemical business, we have the ambition to be leaders in the world in some niches like the rubber, the polyols and so on. And in the commercial side, I mean, we are building value and opportunities around the client, around the customer and around the service points we have today in our services station. So we see Repsol investing in the downstream businesses including of course, the refining business in coming years in this direction. Thank you.
Unidentified Analyst: Thank you.
Ramon Alvarez-Pedrosa: Thank you. Our next question comes from Kim Fustier of HSBC.
Kim Fustier: Yes. Hi, good afternoon. I just had two questions, please. The first one is, is just on LNG. In the last six months or so, I noticed that you signed a couple of LNG supply deals. One from the U.S. and the other from Russia quite recently. And I was wondering if you could give some color on the rationale and maybe the pricing of these deals. I think you're planning to ship this LNG to Spain to supply your own Gas & Power business, but any color you can share on that would be helpful. And just secondly, just if you could give a bit more detail on the Leon and Moccasin developments in the U.S., Gulf of Mexico. For example, when do you expect to take FID and when do you see first oil? Thank you.
Josu Jon: Going to the gas contracts, I mean, we closed a contract with venture 1 BCM I remember in the Gulf of Mexico. In August that is going to be confirmed in coming months after the confirmation of the development of the project taking that in July this year. And on top of that, we have MOU to analyze the possibility to buy 0.4 BCM coming from the North part of Russia from Yamal. I mean you have to take into account Kim, that we have a consumption today in our refineries and chemical plants of around 3.5 BCMs. And on top of that, we have a consumption that is close to 0.8, 0.7 BCMs coming from CCGT and our position in the gas market. So all-in-all, our consumption level is at around 4.1, 4.2 BCMs as a whole. We are growing in this market and the current position we have with all the contracts we have in our hands. Today, I think that is 3.3 BCMs, 3.4 BCMs coming from the Gulf of Mexico and we are adding to this basket, let me say some other position coming from some other places. So that is rationale of having a diversify basket of feedstock, not feedstock - sorry of gas for our industrial sites and our market. And we have to take into account that Spain is decoupled from the European Continent in logistic gas terms. So the real opportunities we have to fit our the Spanish market, they come either from the pipe connecting in Northern Africa and Spain. All the LNG plants where we have a good position as an Atlantic player, very close to the Gulf of Mexico. On top of that, I mean, [indiscernible] first of all, we have to have the confirmation, thanks to as a consequence of the well that is going to be drilling in coming months to apprise the Leon project. And probably we will take the FID of the whole combined project in 2020 at around the third quarter more or less. And the most - the closest approach I have today, it will be to see the first oil in the project at around the first - the end of 2022 or the first quarter of 2023. The gross production of the area will be at around 35,000 barrels per day oil and we have a combination of stakes in 50 Leon, 30 Moccasin so it will take let me say 10,000, 11,000 barrels per day more or less net production for Repsol. But I mean, I still underline we have to go ahead step-by-step. Thank you, Kim.
Ramon Alvarez-Pedrosa: Thank you, Kim. Next question comes from Jason Kenney of Santander.
Jason Kenney: Well, thanks for your time, Josu. And I'm looking forward to your field trip next week for analysts as well. Just want to go back to the CapEx theme, what are the chances that your €15 billion over 2018 to 2020 actually comes in closer to €13 billion, €14 billion?
Josu Jon: I mean, Jason we have in our strategic update €11 billion for our upstream and downstream either sustained or growth improvement of efficiencies targets and we have €4 billion, €1.5 billion of them for the international expansion of our - of the downstream businesses and €2.5 billion for the low carbon business. I mean, I have underlined this message a lot of times, I'm going to prioritize, the return over any kind of consideration or fulfillment of any kind of targets. So, in case of having projects, enough projects to grow, we will invest with the returns we expect and in case of having let me say an excessive cash at the end of 2020, the next step will be to proceed to an additional buyback of shares in Repsol. Today, my first or my best approach, I mean, I think that we could invest in the best guidance, I may give you today €10.7 billion, €10.8 billion out of this €11 billion, we have €1.5 billion for the downstream growth, €2.5 billion for the low carbon businesses that we are going to try to find the opportunities to invest in these areas with the profitability we are looking for, that is our best guidance today. We are not going to be far from this €15 billion figure all-in-all, but I insist, Jason in case of not having opportunities to invest with the return we expect, we will proceed to an additional buyback of shares. No doubt about that. Thank you.
Jason Kenney: Okay, many thanks.
Ramon Alvarez-Pedrosa: Thank you, Jason. And next question comes from Jon Rigby at UBS.
Jon Rigby: Thank you. I just wanted to come back on sort of combination of the outlook that you've described around CapEx production. And then, obviously, the introduction of potentially these LLOG projects in the Gulf of Mexico, potentially, I guess, Blacktip, which I think Shell are very engaged in trying to accelerate in Indonesia. It seems like given that you have a fairly disciplined view about where you want to be on production and a disciplined view on where you want to be on CapEx, does that start to say that some of the other projects in the portfolio, some of the pre-development projects that you've had there for a while start to look a little stale? I'm thinking particularly about Brazil, where those very large scale projects don't really seem to fit with your philosophy for the upstream and does that start to - or does this whole issue starts to raise the prospect potentially that you would want to exit either such a target will BMC 33 one or either of those two projects? Thanks.
Josu Jon: Thank you, Jon. I mean, I said, no in general terms, but as I said I have said over the last month, I mean, if we see opportunities of additional cash because I mean, the oil price is above $50. That was the baseline of our strategic update. And we see additional opportunities. I mean, we are ready to increase a bit the CapEx, but always looking for places or assets where we could have clear advantages. And in the case of the Gulf of Mexico, I mean, it's clear that we have synergistic opportunities combining the Mocassin assets and Leon. And in this case we are combining all that with a very good operator in deep water in the Gulf of Mexico. We see synergies there. And on top of that the coal ACDC project are still core in our portfolio. And you know we are going to - we have a price to pick up in Alaska. We have after a third drill appraisal drill in Alaska on track that is Pikka C, it seems to me that we are going to be on track to take the FID of Alaska probably in 2020 at the end of next year. And on top of that, we are also looking for new opportunities in the North Sea, in Southeast Asia and so on. So - but let me say today, with the CapEx expectation we are applying, we are able to be on track and to go ahead with all the projects we have in our basket. And in case of seeing new opportunities, profitable opportunities, I think that we have enough cash to cope with them. But, as I said before, always put in the return and profitability, return on some in our decisions. Thank you, Jon.
Jon Rigby: All right, thanks.
Ramon Alvarez-Pedrosa: Thank you, Jon. Next question comes from Yuriy Kukhtanych at Deutsche Bank.
Yuriy Kukhtanych: Yes. Josu, thank you very much for your time. Two questions for me, please. First on Libya, could you please comment on liftings of crude oil production in Libya? How frequent are the cargos currently and have you actually shipped anything in March and in the beginning of April from the country? That's the first question. And the second question is very low sulfur fuel oil, you mentioned in the beginning of the call that there are some restrictions on the market currently. Could you please elaborate on these restrictions? Thank you.
Josu Jon: We didn't have any lifting in March and we had a lifting in April. So that's the situation the lifting there generally has been done in a normal way. But in Libya we were under lift in March, and we lift the crude - the cargo in April. So that is working in a normal way. When you say that fuel oil restrictions you are talking - sorry, could you repeat that?
Yuriy Kukhtanych: Yes, I understood that you mentioned that there are currently some restrictions on the very low sulfur oil market. I was just wondering what you mean by that in the beginning of the call?
Josu Jon: I mean, it seems to me that we are going to see a reduction of demand in the high sulfur fuel oil market due to the IMO new rules. And it seems to me also that is going to be more profitable for our refiner in case of having the unit - the cooking unit they need to produce middle distillates, to produce low sulfur gas oil. That to try let me say to produce for someone that has a low conversion rate in the refinery taking the fuel oil production use sweet and light oil to produce low sulfur fuel oil blending this fuel oil with gas oil that is going to be an expensive product due to the widening process of the middle distillate spreads. And this process is going to be possible of course, but margins for someone with a strong cocking capacity able to produce zero fuel oil and to maximize the middle distillate low sulfur production margins are going to be better in my perception for someone using blending to produce the product to be in the specification that is my perception take into account the reality in the market. Thank you.
Yuriy Kukhtanych: Thank you.
Ramon Alvarez-Pedrosa: Thank you, Yuriy. Our next question comes from Peter Low at Redburn.
Peter Low: Hi, thanks. Just a quick question on refining, and specifically the crude slate. Light heavy differentials have nowadays quite significantly over the past six months or so. But your margin have actually remained pretty resilient versus some of your peers. Can you perhaps talk about how your crude slate has changed over this period? I guess specifically, I'm interested in whether you're now running less heavy crude in your system than you were last year. Thanks.
Josu Jon: Thank you, Peter. I mean, the heavy and light oil spread has been explained in a better way. In the first quarter, that in the fourth quarter of 2018. And let me here explain and underline that this is not exactly the same division for non-European refiner than for an American refiner because you are American refiner and you are comparing the Maya for instance the Mexican heavy oil with the Quest, Texas that could be your opportunity in some cases it's clear that your spread is very low. But if you are in this side of the point and your alternative is the Brent oil and the discount of this Maya or some other heavy oils related to the Brent they start $10, $11 per barrel that has been the reality in the first quarter of the year in that case, your crude oil spreads and discounts are okay. So the reality is that we have process over this period, heavy oils something in between 46%, 48% in the feedstock of the basket for our refineries in this period. So that means that this crude oil they were there, we were able to operate and to feed our refineries with these crude oils. At the same time, we have been able to get a good margin process in this oils and the rest at 28%, 29% were medium crude oils like tighter like the euro and so on. And light feedstock has been something in between 22%, 24% in the first quarter. So my point is that we are running our refineries using a 44%, 48% of heavy oil. And of course we have the flexibility to reduce this figures depending on the reality of the market, but today the reality of margins and so on allow us to maintain this operation. And it seems to me that as far as the IMO effect could impact in the market because this higher bottom of the barrel coming from the heavy oils we are going to have opportunities for feeding our refineries with heavy oil in the future. Thank you, Peter.
Peter Low: Thanks.
Ramon Alvarez-Pedrosa: Thank you, Peter. Next question comes from Biraj Borkhataria of Royal Bank of Canada.
Biraj Borkhataria: Hi, thanks for taking my questions. I just had two quick ones left, first one is on the downstream there was a fairly large negative in the other downstream segment. I know you said Viesgo was a small positive contributor, could you just walk through what drove that in Q1? And then the second question is on chemical as you mentioned you can take upto 40% gas feedstock. Could you just put that in context it would be helpful just what that number was a few years ago? And whether you can push that number up with some modest investment over the next couple of years? Thank you.
Ramon Alvarez-Pedrosa: So Biraj we didn't catch your last question about the gas feedstock for the petrochemcials. Can you repeat that please?
Biraj Borkhataria: Yes, sure. The 40% figure you mentioned could you just put that in context and provide what that number was a few years ago and whether you can push that number up higher with some investments going forward?
Josu Jon: Thank you, Biraj. I mean, going to your first question, you know that sometimes - I mean always our refining business for instance sells their products to the trading that finally put this product in the market sometimes. So if at the end of the quarter for instance a part of these products that has been sold by the refining business where you have a margin and a result are not transcended out of the group, I mean the central of the downstream business has to post a negative result because the sale has not been transcended to the market. It's technically an intra-group sale. Sometimes this figure at the infinite is neutral, is zero, but sometimes some quarters it's positive and some quarters it's negative. This quarter in March has been significantly negative you could see that we have I think I remember €80 million-€85 million as non-transcended sales because the refining margin - the refining business has sold this product to the market, but it's still in the hands of our trading business. So it's an intra-group operation technically. So that means that in coming months you are going to see theoretically all the result that today is included in our P&L as non-transcended, but that is not new. That is always there sometimes it's positive, sometimes it's negative and is increasing due to the increase of our activity, coming either from the upstream side and the growth of our trading activity. So that is the reason of having this negative result that is going to be offset in coming weeks of course. Going to the gas feedstock, I remember that in 2012 for instance and I remember quite well because at that time I was running the chemical business of the company, we could have a maximum of a 20% something like that of capacity of gas feedstock. For instance in seeing this all the feedstock NAFTA and in Tarragona we could have a 20% to 25% and even reduced capacity in Puertollano. Thanks to a change of furnaces, thanks to the change of logistics and so on, and thank you also to the use of streams coming from the refinery, the fuel gas that technically sending sign. Today we have the possibility to increase this feedstock and let me say that we have the best of being in an European market but at the same time we have one of the gases feedstocks in the cracker s in Europe. So decoupling in way of operation from the risk of being fully exposed to the NAFTA. Thank you, Biraj.
Biraj Borkhataria: Thank you very much.
Ramon Alvarez-Pedrosa: Thank you very much Biraj. Well, that was our last question. At this point I will bring our first quarter conference call to a close. And thank you all for your attendance.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now all disconnect.